Thomas Denny: Thank you, George, and good afternoon from Athens. And to investors and analysts, I know it's a busy day for you, so a special thanks for joining the RWE Q1 Investor and Analyst Conference Call today. Our CFO, Michael Muller, will guide you through our key highlights and financial performance of the first quarter and the outlook for the current year. And with that, let me hand over to Michael.
Michael Muller: Yeah, thanks, Thomas, and also good afternoon to all of you from my side. RWE had a solid start into 2025. Adjusted EBITDA stood at €1.3 billion and adjusted net income at €500 million despite weak wind conditions in the first quarter. We confirmed the guidance for the full year we presented in March, which already reflected the weak wind conditions until then. Our 1.5 billion share buyback program is making good progress, and the first €500 million tranche will be completed by the end of the month. Shortly thereafter, we will start the second tranche. The full program will be completed by May 2026 as planned. We are also well underway with our offshore portfolio optimization. We successfully sold down 49% equity stake in our 1.6 gigawatt North Sea cluster and our 1.1 gigawatt Thor offshore project at an attractive valuation. The agreed purchase price is approximately €1.4 billion as of closing. We are making good progress and expect closing by the end of Q2 2025. The transaction significantly reduces our share in the project's net cash investments by approximately €4 billion. Let's now take a closer look at the construction program. Our offshore wind projects under construction are all well underway. The 1.4 gigawatt project Sofia in the UK is on track to be commissioned in 2026. As we speak, 49 of the 100 foundations and 12 turbines have already been installed. We expect first power in the second half of this year, and the project will have a 15-year inflation-linked CFD. In Denmark, we have just started offshore construction at our 1.1 gigawatt project Thor. Five out of 72 monopiles have been installed, and all offshore, onshore, and supply chain works are on schedule. For this project, we will close the PPA ahead of COD in 2027. Our 1.6 North Sea cluster project in the German North Sea will be commissioned in the year 2027 and 2029. All supplier contracts have been signed, and first foundations have been offloaded at our marshalling port in Emshaven. The start of installation is settled for this summer. As we speak, preparation for the offshore works is ongoing. For this project, we will also sign PPAs ahead of COD, and we have already constructed the first 400 megawatts. With our onshore wind and solar business, we have commissioned 500 megawatts in the first quarter of 2025. More than 95% of the offtake of the commissioned assets and of our projects under construction is secured. In the US, we have largely mitigated supply chain risk of our projects under construction. Our tariff risk is not material, and we do not have economic risks from federal permitting. In Europe and Australia, we are also forging ahead with 90 projects under construction in nine markets. In 2025, we have secured attractive offtakes for further 400 megawatts in CFD auctions across various European markets. In our flexible generation segment, we have fully commissioned one of the largest battery storage systems in Germany with a total capacity of 220 megawatts. The system is dispatched and optimized in the wholesale market and contributes towards stabilizing the electricity grid through balancing energy markets. Another 1.4 gigawatt of standalone batteries in Germany, the UK, and the Netherlands are under construction on time and on budget. The new German government wants to push ahead to incentivize the buildout of new gas plants. We are ready to construct at least three gigawatts if the conditions are right. We will do so at existing sites, and we have already secured the supply chain, including turbine slots for 2.4 gigawatts. All necessary permit applications have been kicked off. Let's now take a closer look at Q1 2025 financials. Despite the weak wind conditions in Europe, we have achieved solid earnings. In offshore wind, adjusted EBITDA was €380 million. Earnings were below last year due to wind conditions and lower hedge prices. Compared to the first quarter of last year, our offshore wind generation volume was down 33 due to lower wind speeds across our UK and German offshore wind portfolio. Onshore wind and solar recorded an EBITDA of €496 million. In the US, we benefited from significant capacity additions and higher hedge prices compared to last year. Our US capacity amounted to 11.2 gigawatts at the end of Q1 this year, compared to 9.3 gigawatts a year earlier. The earnings increase in the US was partially offset by weak wind conditions in Europe and lower hedge prices in Europe. Adjusted EBITDA of the flexible generation segment was €376 million. As expected, we have seen lower earnings in line with normalized prices. Our supply and trading business had a weak start into 2025. The Q1 result stood at €15 million, driven by a lower trading performance. Other consolidation was €400 million. In total, adjusted EBITDA came out at €1.3 billion. The year-on-year adjusted financial result improved due to an increase of capitalized interest during construction. For adjusted tax, we applied the general tax rate of 20% for the RWE group. Adjusted net income stood at €500 million euros, resulting in an adjusted earning per share of €0.07. The adjusted operating cash flow was minus €1.15 billion at the end of Q1, driven by seasonal effects in operating working capital as well as changes in provisions and non-cash items. Changes in operating working capital were marked by the purchase of CO2 certificate rights in Q1, partially compensated by a decrease in inventories of gas and storage. Changes in provision and other non-cash items were driven by seasonal effects in the utilization of provisions. It also includes the cash flow of all phased out technologies. Net debt increased to €15.9 billion due to investments and seasonal effects in our adjusted operating cash flow. In total, we invested €2.7 billion net in the growth of our offshore wind, onshore wind, and solar business. Other changes in net financial debt amounted to €1 billion, driven by timing effects from hedging and trading activities. We expect net debt at the end of the year to be lower than at Q1. We assume that that will be slightly below our three times leveraged target. For 2025, we confirm the outlook. Adjusted EBITDA is expected to be between €4.55 billion and €5.15 billion. Adjusted net income will range from €1.3 billion to €1.8 billion, and adjusted earnings per share between €1.08 and €2.05. The dividend target is €1.02 per share for this year. And with that, let me hand back to Klomats.
Thomas Denny: Thank you, Michael. We'll now start the Q&A session. Operator, please begin.
Operator: Thank you very much, sir. [Operator Instructions] The first question today is coming from Alberto Gandolfi of Goldman Sachs. Please go ahead.
Alberto Gandolfi: Thank you, and good afternoon. Thank you, Thomas and Michael. I wanted to – so I'll stick to the two-question rule. I wanted to be a bit specific here, not go big picture, but the first one is on the debt. I was wondering, Michael, if you can be a bit more precise, other than saying below three times or lower than Q1. I mean, I think consensus for the full year is just about €14 billion. I was wondering if you are, A, comfortable with that, and B, am I right in thinking that if you were to take an impairment on community wind, it would be a non-cash impairment, i.e. it would relate to past CapEx without an impact on free cash flow and net debt. The second question is if you can tell us what you are seeing on trading conditions and offshore volumes and pricing in April and May so far. So should we consider Q1 an anomaly that has been normalizing or not? And if you can also talk about onshore, which was clearly way stronger, I think, versus the midpoint that you gave. So just to see how the rest of the year is going. Thank you so much.
Michael Muller: All right. Yeah, Alberto, let's start with net debt. I mean, look, I stated that clearly the Q1 net debt is marked by a seasonal pattern that will revert over the course of the year. Obviously, there will be then the offset of operating cash flow, so from the earnings and then the investments. Yeah, but as I said, it should be, so yeah, numbers should be lower than what we currently see, and we do expect it also to be below the 3.0 targets based on EBITDA to net debt. Second question on the impairment. So we don't see an impairment need on our Eurobite asset. I mean, look, the asset does have a leasing right until 2060, and we do see clearly the need for offshore wind for that region in the US, and that's why we see the asset still as being valuable. I mean, we mentioned that in the full year numbers. Clearly, we have significantly reduced our spending to the minimum that is required to keep the option of the lease, and we also don't have any commitments going further. So it's really restricted to the current book value, which we still see as valuable. Then your question on the full year. I mean, look, we don't comment on performance of the current quarter, but I mean, you will have seen that Q as at least April wind in Europe was, again, not very strong, but please bear in mind that the important quarters are Q1 and Q4. So, April is typically not so significant for the overall numbers, and that is only obviously for Europe and not the US. And if you look at the entire year, we confirmed our guidance, and I mentioned that when we gave the guidance that already incorporated the lower wind yields, we saw at the point in time when we gave the guidance, which was mid of March.
Alberto Gandolfi: And Michael, sorry to follow up, but did I miss what you said on trading? And by the way, just let me correct myself, 15.4 is consensus for ‘25, which basically is a bit below what you said earlier, so very consistent. But have I missed it on trading? Forgive me.
Michael Muller: Look, trading, I can't tell you anything about the running quarter. That's what we never comment on.
Alberto Gandolfi: Got it. Thank you.
Operator: Thank you, sir. We'll now move to Peter Bisztyga of Bank of America. Please go ahead. Your line is open, sir.
Peter Bisztyga: Yeah, hi. Good afternoon. So two from me, please. One on this topic of zonal pricing. There was a European Commission document pointing to the fact that they might force Germany to adopt zonal pricing. So I was interested in your opinion on whether that might happen, even though the German government is opposed to it, and what the impact could be on your generating assets in that scenario. And while we're on the subject, I guess it'd be useful to get your opinion on the UK situation as well. And then my second question actually was on your phased out technology. So you've got guidance of €350 million to €650 million negative cash flow for this year. Q1 was sort of over €200 million negative cash flow. So I'm wondering, does that point to full-year cash flow actually being worse than your guidance or the thought that Q1 should be one of the stronger quarters? And how long are you actually willing to tolerate negative cash flow for in that business? And what are your options if this continues for the next few years? Thank you.
Michael Muller: Yeah, Peter, let's start with the latter one. First, let's confirm we stick to our guidance. So that's still the range we see. As we said, we also had an unavailability of one asset in Q1, which also led to additional negative part in the first quarter. But overall, we stick to the guidance. Secondly, I mean, first, please be reminded that when we look at the segment, obviously, we look at each individual asset and optimize the asset and also make sure that they are cash positive. So if an asset is cash negative, we don't operate that. And if you look at the Lignite, it's clearly the case. The assets are cash positive. Yet we are already preparing for the later recultivation. So much of the cash flow is already spent into the mining system. If you look at the overall system, over time, costs will come down. So you should see an improvement in the cost basis going forward. Plus, obviously, we are also continuously optimizing the assets to improve the situation. So clear message, we don't run unprofitable and cash negative assets. And we are continuously optimizing also that segment and stick to the guidance. Next one on zonal pricing. I mean, let's start with the UK. I mean, you know that apart from one company, everybody in the UK is in the business is opposing zonal prices, because I mean, clearly, what you see in the current situation, we do need significant investments into green technologies. And a introduction of zonal prices just adds additional uncertainty, which clearly doesn't improve the investment environment. And to be honest, I mean, the latest developments in offshore also underpin that. So I hope for the UK government also to properly reflect that if they judge on the zonal pricing. And the other aspect is, I mean, it is introducing uncertainty. That's why we don't like it. What the final impact would be is not so clear, because you know that our assets are actually better positions because they're rather in the south. But from our point of view, we don't want to see that uncertainty. So rather stick to the current setup. On Germany, similar topic. I mean, you saw that this investigation was brought forward. There was clear comments also from the German TSOs opposing that review. Because first of all, the benefit that was calculated was fairly small, yet the downsides were not fully incorporated, like lack of liquidity or lack of investment certainty, but also the impact it would have on industry, or also potential future PPAs. So first, that needs to be considered. And especially given the advantage was also only minor, there is not a clear recommendation out of that investigation for a zonal split. Secondly, the investigation also didn't incorporate all the grid build-outs that is already planned or ongoing. So if that would be considered, we do foresee that the number would have been different. And actually, that is also leading into where our recommendation goes. Germany needs to focus on getting the grid build-out done, similar in the UK, because that ultimately will solve this issue of re-dispatch from the north to the south. Finally, you already mentioned that in the German coalition agreement, they clearly stated that they are in favor of one zone. So my closing remark would be, I don't expect any changes here.
Peter Bisztyga: Perfect. Thank you very much.
Operator: Thank you for your question, sir. We'll now move to Wanda Serwinowska of UBS. Please go ahead.
Wanda Serwinowska: Hi, Wanda Serwinowska, UBS. Two questions for me. The first one just wanted to follow on zonal in Germany. In my understanding, you need to align your view with Luxembourg. So can you please confirm what is the view on the zonal split of Luxembourg? And the second question is on the new CCGTs in Germany. I mean, what is the most likely support scheme in your view? And when do you expect clarity on the support given that EU needs to approve it?
Michael Muller: On the zonal pricing, I mean, for me, it's very early days. So that was just an investigation or a report. So I don't see any development here. So it's too early to judge. That depends on individual countries. So actually, I wouldn't put too much emphasis on that topic, because clearly, Germany has currently other topics to focus on than zonal prices. And that brings me actually to the CCGT topic. I mean, look, the government is just in place with the Economic Ministry, Katherina Reiche, who previously worked for E.ON. We clearly have a very experienced secretary in the Ministry who knows the industry and has a good understanding. And one of her three priorities she has put forward is to bring forward the gas assets, which we see as very promising. Now, the next step, obviously will be to already engage with Brussels to find a solution that is pragmatic and quick. But honestly, we're pretty confident that this should not go in the right direction, given also that she has put that on her priority. I mean, we are prepared, as I said, also in my speech to go ahead. And yeah, then we need to see which direction it's going.
Wanda Serwinowska: And Michael, if I can just put two follow ups, but should we expect clarity by the end of this year or it may take longer? Basically, I'm trying to understand when RWE can take an FID or between at least 3 gigawatts of the CCGT. On Luxembourg, I think you need to align with Luxembourg because otherwise the things may get more complicated. I understand the German government and the regulator in Germany are not in favor, but I think Luxembourg have a say. So do you know what Luxembourg thinks about zonal pricing?
Michael Muller: So first of all, I don't know what Luxembourg says on zonal pricing. But from my point of view, we're not yet there, that there are kind of decisions needed by individual member states. Yeah. So we are in a very early stage where kind of just an investigation was done. Yeah. I'm happy if there are more detailed questions to follow up on that topic with the team. The other one on the timeline, I mean, look at what is the underlying assumption of the gas build out is that we can facilitate the further build out of renewable and the phase out of coal. And there's a due date, which is 2030. And if you want to have additional capacity by 2030, you should also have the first auctions or FIDs end of the year, latest beginning of the next year. So therefore, actually, I'm confident that we'll see something in the course of the year. But we need now to observe what happens in the next months to come.
Wanda Serwinowska: Thank you.
Operator: Thank you. Next question will be coming from Robin Pulleyn of Morgan Stanley. Please go ahead, sir.
Robert Pulleyn: Hi. Yeah, good afternoon. Rob Pulleyn here from Morgan Stanley. A couple of questions, please, Michael. So first of all, it'd be great to hear your take on the IRA proposals, which came with the first draft of the budget reconciliation and whether that, shall we say, changed thoughts about future capital allocation in terms of US onshore renewables. Secondly, if we may ask for an update on the Amprion sale. I believe there was an indication that this was imminent, but that was a few months ago. And is, of course, the regulatory review in Germany sort of, shall we say, a hold up before that actually can transact? Thank you very much.
Michael Muller: Okay, let's start with the inflation reduction act. I mean, you saw that the Ways and Means Committee of the House of Representatives put forward a proposal. It's a pretty long proposal. So we are currently analyzing that in detail. And you also know that this is just a first proposal. So there will be now a longer legislative process which needs to follow. So for me, it's too early to already conclude what that really means for our strategy. But looking into the draft, that's actually promising. So I'm confident, at least what we read in the draft, that this should not impact our strategy or our way forward in the near term. But as I said, we need to see. And therefore, a second comment, it's too early to have any implication on capital allocation. So we need to see how that now evolves. And therefore, we also stick to our strategy, which is, yeah, it's the investment program, but clearly with more scrutiny. So increased return expectations, but also more scrutiny on the individual project, which means we only go ahead if safe harboring is in place, if tariffs are mitigated, if all federal permits are there, and we have also contracted the offtake. Next question was on Amprion. Look, we said we are in the process of looking at alternatives to finance the CapEx program going forward. And we'll tell you once we have taken a decision, and that's not yet done. And on the regulation, no, that doesn't put the process at hold, so that the process around Amprion is independent on any governmental announcements or into any announcements.
Robert Pulleyn: Thank you. I’ll turn it over.
Operator: Thank you very much for your question, sir. We'll now move to Deepa Venkateswaran of Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. So my two questions. So the first one is on the German gas build-out. Michael, could you talk a little bit more about what CapEx you are expecting? For example, some of your peers like Nextira have highlighted that it could be as high as €2 billion per gigawatt. So what would be a good run rate assumption? I believe it was €1 billion in your November ‘23 plan. So if you could just talk a little bit about the CapEx and therefore maybe what kind of capacity clearing prices. And secondly, just on trading, just wanted to check if there was anything unusual about this quarter or anything out of the ordinary, or is there any structural shift in volatility? Because I guess €15 million is probably the lowest print in several quarters. So just wanted to see if there was any read across for the rest of the year on trading. Thank you.
Michael Muller: Okay, let's start with trading. I mean, no structural changes and therefore also no read across for the remainder of the year. That's why we stick also to the guidance we have. Second one on CapEx for CCGTs, if you go back to our capital market day, we said that we have roughly €3 billion kind of earmarked for CCGTs or gas assets in Germany. But there's flexibility in capital allocations. For me, the important piece is how does the framework look like? We are clearly developing more assets than just the three gigawatts. And then we need to see how the auction goes, how it's designed, how it goes, and then to move forward. But to be clear, I mean, the strict investment criteria we applied, we are applying for renewables, obviously also apply for the German gas assets.
Deepa Venkateswaran: Okay, so just to confirm, you're still expecting €1 billion per gigawatt of CapEx, not quite the €2 billion that some of your peers are suggesting?
Michael Muller: I mean, I can say that at least the contracts we have already secured are more in line with the numbers you said. And then it depends on kind of when we do new projects, which type of projects are those. Yeah.
Deepa Venkateswaran: Thank you.
Operator: Thank you for your question, Deepa. We now move to Ahmed Fahrman of Jefferies. Please go ahead. Your line is open, sir.
Ahmed Fahrman: Hi, Michael. Thank you for taking my questions. I just have a sort of – I'm going to start with the guidance first. I take from your comments that, you've already reflected the weather impact or you had sort of reflected some weather impact in your guidance for the full range of the guidance, presumably including the midpoint. Can you tell us, give us some granularity, what exactly sort of is reflected in the guidance for the weather so we have a sense of what is the underlying earnings for this year. And maybe sort of how much of that has already sort of come through in the first quarter in terms of the weather impact? That's my first question. My second question, I would be just interested in your view on the European offshore wind industry in terms of, you know, just for the sector as a whole, anything you can say or give us some sense of where – what are you seeing in terms of, let's say, cost inflation over the last 12 months? Are there any specific bottlenecks that you're concerned about as you think about upcoming capacity options? Thank you.
Michael Muller: Yeah. Ahmed, I mean, I can't give you now the complete numbers how we calculated exactly our guidance. But if you go back, I mean, we published the guidance mid-March, and since the guidance was part of our annual report, you can assume that the auditor had to look at the numbers so that we kind of defined the guidance internally end of February, and that is also the time that it's fully incorporated. So, Jan and Feb, low winds are fully reflected in the guidance. And yeah, the rest is then assumed normalized earnings, I mean, or also normalized weather. I mean, bear in mind, we don't all know what the summer and especially Q4 is bringing. And also bear in mind that if you compare it to last year, last year's Q1 was extremely strong, so therefore, the relative comparison is not only low winds, but especially low winds compared to a very strong Q1 last year. And therefore, when I look into the full year, I still assume average winds for the remainder of the year. And therefore, we are confident with the guidance we have given. On the offshore industry in Europe, I mean, look, we do see, obviously, an easing in the industry. I mean, on the one hand side, we hear from some of our competitors, especially some of the oil majors that they are not so bullish anymore about the industry, which should lead to some easing on their side, and also some other competitors, at least vocally, voice that they rather shift CapEx in other areas of their – in other parts of their business, which also should give some easing of the offshore industry. Plus lately, you saw a big competitor of us withdrawing from a huge project in the UK. I mean, for me, that is – the signal clearly is that there is an easing on the demand for offshore components. So, I would foresee an easing of the supply chain. I think it also will help to ease financing, and also, in the sell-down market, you will also see less projects. So, honestly, we believe that our strategy to also be more careful with our investments, keep the powder dry, is exactly the right strategy in the current environment. And I mean, final comment, if you look at the UK, if the UK government wants to achieve their targets, it's clear that the next auction needs to be designed in a way that enables sufficient capacity to be contracted, which, from my point of view, is also a positive signal for the offshore industry in the UK.
Ahmed Fahrman: Thank you, Michael. Could I follow up on the first one? Are you able to say what's the weather impact in the first quarter for you on the numbers? Both?
Michael Muller: Yes, I can take that. So, in the offshore business, compared to expectations or to normalized weather in the offshore segment, it was about €150 million below expectations.
Ahmed Fahrman: Thank you.
Operator: Thank you for your question, sir. We will now move to Olly Jeffrey, calling from Deutsche Bank. Please go ahead, sir.
Olly Jeffrey: Thank you. My first question is on some comments that were made at the recent AGM by the municipalities who expressed the desire for your future capital allocation plan to be more CapEx driven and not to go down the buyback route. So, I'd be interested to hear how those comments from these particular shareholders, how that might impact your marginal willingness to go down a buyback route, depending on what happens with potential investments across your portfolio. And then the second question is, just on AR7, in light of the fact of Hornsea 4 being canceled and, you know, possibly moving to zonal pricing, but I guess more with Hornsea 4 being canceled, do you think the probability of seeing 20-year CFDs as being part of AR7, having been materially higher probability now of that happening, given the UK government would wish to secure offshore wind capacity to meet its targets? Thank you very much.
Michael Muller: Yeah, Olly, let's start with the first one. I mean, look, to be very transparent, there is obviously a clear push from some of our investors for share buybacks. But I have to tell you, there's also a push from other shareholders. And it's not just the ones you mentioned, but also others, that clearly state if we do have profitable investments, we should consider profitable investments. So, therefore, it is kind of a mixed picture. But what for me is more important is what we stated at the full year numbers. In the end, it is a matter of comparing the different opportunities and capital allocation. So, if we see attractive projects and also an attractive environment that gives us certainty that would be beneficial for investing more. The other one is obviously the share price. The higher the share price, the less you're attuned to buying back shares, and vice versa. And that's why we said we'll consider that when we take the decision in the beginning of 2026. So, what is the environment in the US by then? What is the environment around gas assets in Germany? What are we seeing as actual returns on the projects that we can take investment decision on? And where is the share price? And then based on that, take a good decision how to take it forward. Next question on AR7. I mean, I can't comment on what the UK government will do now, but if they want to achieve their 2030 targets, we clearly need more projects to be successful in this auction. I mean, bear in mind, AR5, no assets cleared. AR6, yeah, basically, the Hornsea 3 cleared, which was already in the building. So, there were just two additional assets who cleared, and one of them, 2.4 gigawatt, is now not built. So, it's clear that more capacity will be needed, but it's ultimately up to the UK government now to decide how to go forward. Clearly, we are there with our projects and also willing to build, not only to bid, but also then to build those assets.
Olly Jeffrey: Do you have any visibility on when we'll hear on AR7? Do you think it will be at the same time as when we hear on zonal pricing, for example?
Michael Muller: Look, I would put it the other way around. It's clear that there needs to be either an indemnification or clarity on the zonal pricing before anybody would bid into AR7. That's also what we clearly state towards the UK government.
Olly Jeffrey: Yeah, that makes sense. All right. Thank you very much.
Operator: Thank you, sir. We'll now move to Harry Wyburd of BNP Paribas Exane. Please go ahead.
Harry Wyburd: Hi, everyone. Thank you. So, these are just two follow-ups, really, on questions that have already been asked. So, firstly, on the draft budget in the US. I know, Michael, you mentioned that it's very early days, but can you tell us anything about how the material assistance clauses might play into your supply chain, both in onshore winds and solar? I guess that's going to be one of the most critical things about how this draft budget ultimately plays out. So, can you say anything to us now about how your onshore wind supply chain's positions vis-a-vis those material assistance clauses and your solar supply chain? And then the second one, one of your Iberian peers seemed to be pretty adamant that UK zonal pricing was not going to go ahead. I guess, as a foreign investor in the UK, there might be some incentive for the UK government to be particularly vigilant to your views and needs. Would you agree that the chance of it happening looks unlikely at the moment? Thank you very much.
Michael Muller: Let's start with the zonal pricing. Honestly, I can't judge. Yeah. That is a purely political decision. I mean, you saw that the whole industry, except one participant, is pushing against that. The arguments we put forward are very clear. We need to observe what happens. But as I said, the impact on AR7, we are confident that this will be mitigated the one or the other way. And the other topic is, in principle, if it would happen, the impact on our portfolio would buy me my assessment. There's a good likelihood that this is rather positive. But as I said, we don't appreciate it going forward because it just adds uncertainty that is clearly not needed in an environment where you want to have investments. On the US budget draft, so that topic of foreign entity of concern, this is a passage in the draft that is not very clear. So we're still trying to assess what it really means, also in collaboration with the association. But our current view is that it doesn't have an impact.
Harry Wyburd: Okay, that's very clear. Thank you.
Operator: Thank you for your question, sir. The next question will be coming from Piotr Dzieciolowski of Citi. Please go ahead, Piotr.
Piotr Dzieciolowski: Hi, good afternoon, everybody. I wanted to ask you, recently, Bundesnetzagentur launched a consultation on the grid key structure in Germany. And one of the ideas that was put out was that the power generators would pay for the grid access. So I wanted to understand your thoughts and how do you see the risk of this solution coming into the market. And the second question, I wanted to ask you whether we should somehow link your ability to deliver another round of a buyback next year with the execution of the farm downs and the sale of the Amprion. In other words, like, if you were to sell Sophia or Norfolk or Amprion, you will have some excess funding that you could deploy into the buyback. Shall we link it or that's totally irrelevant? Thank you.
Michael Muller: Yeah, let's start with the last question. I mean, clearly, whatever we do on Amprion, if that adds additional funding to our balance sheet, that is something we would consider in the overall capital allocation. But as I said, we have a current share buyback program running under Q2 2026. And we will decide on that program beginning of next year and obviously incorporating all the sources and uses available at that point in time. Your question around the proposal on the PDN tariffs in Germany. I mean, look, first of all, this was a first draft that is out for consultation. We do appreciate that as a start into a dialogue. And then you may have seen that Markus Kreber and then Leo Willenbaum, [ph] they both published a short document ahead of the German election on topics to be addressed in Germany. And they also stated the topic that the grid fee or that we need to kind of work on more flexibilization of demand. And therefore, looking at the grid fee system and also introducing some capacity payments is leading into the right direction because you do incentivize then also more flexible behavior. So, it is the right direction. I mean, on the exact proposals, we do have some different opinions on some of them. But as I said, it's a start into a discussion. And in the end, I think it's absolutely appropriate that if we want to make the energy transition happy, we now also need to address the topic of affordability. And that includes all components, including grid fees.
Piotr Dzieciolowski: Okay. Thank you very much.
Operator: Thank you much, sir. [Operator Instructions] The next question will be coming from Wanda Serwinowska of UBS. Please go ahead.
Wanda Serwinowska: Hi, it's Wanda from UBS. Just one follow-up, if you don't mind. On the UK leases, if for some reason RWE is not successful in ARS 7 because of the zonal pricing, you don't have a clarity or the price is too low for you, is there any risk for impairment of your UK leases?
Michael Muller: No.
Wanda Serwinowska: Thank you.
Operator: Thank you very much, ma’am. We have another follow-up question. This time coming from Alberto Gandolfi of Goldman Sachs. Please go ahead, sir.
Alberto Gandolfi: Thank you for your patience, Michael. The first question is also yes or no. If I understood well your guidance, you were saying EBITDA for leverage and net debt at year-end, of course. You were talking about if I take EBITDA a bit below 3 times, that's what you would expect. So EBITDA is 485. Let's take 2.9 leverage. I mean, essentially, you gave us a €14 billion year-end net debt guidance. Am I right?
Michael Muller: Yes.
Alberto Gandolfi: Great. And then the last follow-up. Thank you. Thank you. That's a billion and a half lower than consensus. So the second one is I find maybe premature, Michael, but I've seen this is the second quarterly presentation where RWE has not talked about Germany a bit more in depth. All economies are upgrading GDP targets for the infra plan, for the defense spending. Do you think there's an angle here to start thinking about an inflection point in power demand and growing power demand as of ‘26, ‘27? And what does it do to your business, please? Thank you so much for your patience.
Michael Muller: Yeah, that's a little longer answer to your second question. Look, for me, it's ultimately a question of sentiment in Germany. So I do have to hope that a good program and also a good government changes the overall investment sentiment in Germany and that this then also triggers investment and growth again. And it's clear that any growth we see in Germany will help to boost demand. I mean, put it the other way around. We saw a significant reduction in demand on the back of the energy crisis that hasn't recovered. So there is a good chance that if the program really helps to boost the economy, that will lead to economic growth and also to demand growth. And clearly, given that German industry is very much focused on also decarbonization that also will help to boost the demand for green power in Germany. So long answer, but short a yes.
Alberto Gandolfi: Thank you. Thank you.
Operator: Thank you very much, Alberto. We have another follow-up question coming from Peter Bisztyga of Bank of America. Please go ahead.
Peter Bisztyga: Yeah. Hi. Actually, just a quick one on supply and trading. I thought it would be useful to understand a little bit better if there was kind of anything specific, either that went wrong in the business or relating to kind of market conditions during the course of that led to that very low trading performance. Are you having to sort of implement any changes in that business to sort of remedy that? Or was this just one of those quarters?
Michael Muller: Yeah, Peter, you put it right. It was just one of those quarters. I mean, I guess we are all very spoiled by a clear outperformance in quite a lot of quarters, previous quarters. So there is nothing specific as already answered to deepest question and also no structural changes. It's just a poor quarter. Got it.
Peter Bisztyga: Fine. Thank you.
Operator: Thank you very much, sir. Another follow-up question, this time coming from Piotr Dzieciolowski of Citi. Please go ahead, sir.
Piotr Dzieciolowski: Yes, I have one more follow-up on the gas capacity in Germany. So I understand there will be an option for new capacity, but the former government also wanted to have some consultation on the capacity market for existing fleet. I mean, if you look at the stability of your roughly 4 gigawatt of a capacity embedded within the ‘27 guidance is not very low. I mean, definitely, I mean, versus the replacement costs, it's a very low number. Is there any discussion about supporting existing capacity at some point in time and when, if yes, when that could be implemented?
Michael Muller: Yeah, thanks, Piotr, for the question. This is a very important one. I mean, it's clear that we are not just talking about existing capacity and new capacity, but we also need to think about a proper remuneration for existing capacity with more renewables coming into the grid. I mean, you see UK has that in place. Belgium has introduced it. So that's definitely something to look at. I mean, to be clear, when we talk to politicians, we say the topic that is urgently short-term needed is the new build of capacity. That's why we recommend in the first step focus on the new capacity. That's why we also appreciate the targets to incentivize 20 gigawatts until 2030. But we are also clearly stating that's the one thing. So what you need to do, ideally in parallel, or if not shortly after, start consultation on a concept for a proper capacity market in Germany. We know that this will be probably a more lengthy process, and that's why also this one is needed to be kicked off very shortly. But again, I think the first one is let's get it sorted that we have a new capacity, and then the second topic needs to be addressed in the second step, but both are definitely needed. And clearly, if you look at our business model, I mean, look at the UK, that does provide a good opportunity for our flex-strand business.
Piotr Dzieciolowski: Yes. Okay. Thank you very much.
Operator: Thank you very much, sir. Ladies and gentlemen, as we have no further questions, I'll turn the call back over to Mr. Thomas Denny for any additional or closing remarks. Thank you.
Thomas Denny: Well, thank you, George, and thank you, everyone, for joining in to our call today. I hope you got all the answers you were hoping for. If there are further open questions, reach out to the RWE team any time. And with that, I wish you a great rest of the day. Bye-bye.
Operator: Thank you very much, sir. Ladies and gentlemen, that concludes today's conference. Thank you very much for your attendance today. Have a good day and goodbye.